Operator: Good morning everyone and welcome to Fresh Del Monte Produce Inc. fourth quarter 2007 conference call. (Operator Instructions) At this time, I’d like to turn this call over to Ms. Christine Cannella for opening remarks and introduction.
Christine Cannella: Good morning, everyone, and please let me welcome you to Fresh Del Monte’s fourth quarter and year-end 2007 conference call. I am Christine Cannella, Assistant Vice President of Investor Relations. Joining me today are Chairman and Chief Executive Officer, Mohammad Abu-Ghazaleh, and Executive Vice President and Chief Financial Officer, John Inserra, who will discuss our results for the fourth quarter and full year. Fresh Del Monte issued a press release this morning via Business Wire, e-mail, and First Call. You may visit our website at www.freshdelmonte.com to register for future distributions. This conference call is being webcast live on our website and it will be available for replay approximately two hours after conclusion of this call. This morning, Mohammed will review our operating performance during the quarter along with recent developments and our future outlook. John will then review our financial performance for the fourth quarter of 2007. Please let me remind you that much of the information that we will discuss this morning, including the answers we give in response to your questions, may include forward-looking statements regarding our belief and current expectations with respect to various matters. These forward-looking statements are intended to fall within the Safe Harbor provisions of the securities laws. Our actual results may differ materially from those in the forward-looking statements as a result of various factors, including those described under the heading Description of Business Risk Factors in our Form 20-F for the year ended December 29, 2006. This call is the property of Fresh Del Monte Produce. Redistribution, retransmission, or rebroadcast of Fresh Del Monte Produce’s call in any form without our written consent is strictly prohibited. With that I’d like to turn this call over to Mohammad Abu-Ghazaleh.
Mohammad Abu-Ghazaleh: Good morning everyone. The fourth quarter of 2007 was another outstanding period for Fresh Del Monte Produce and a continuation of our strong performance from previous quarters. We are particularly proud of the fact that we delivered this excellent performance in spite of higher costs. Net sales for the quarter were 15% higher year-over-year at $848 million and on an adjusted basis we generated EPS of $0.68. We also performed operationally at a very high level. During the quarter and throughout the year, we benefited from improvements we made in all of our business segments, which enabled us to restore our track record of creating enhanced shareholder value. The significant changes that we made in our North America business during the year were major contributors to our success during the fourth quarter. We continue to improve banana contract pricing countering higher production and logistics costs, and we gained new contracts in strategically important geographies like the West Coast and the Northeast. Our competitive position in the gold pineapple category remains strong, with steady sales and pricing in line with last year’s fourth quarter. We continue to streamline our fresh-cut business, driving efficiencies in our logistics networks and we secured several major renewal contracts to further maximize production. We also expanded our fresh-cut customer base during the quarter, adding several leading grocery store chains in the Northeast and Midwest. We continue to believe that the fresh-cut category represents a key growth opportunity for us. In Europe, we began to benefit from repositioning our prepared food business. We continued to regain lost shelf space in the U.K. market and we made progress in restoring our position as a premium brand with major retailers. We also streamlined our operations and began to outsource distribution a move that we believe will make us more efficient in this highly competitive category. In a related measure, we will close our juice plant in the U.K. during the first quarter of 2008, which will further improve our cost structure. During the quarter, our European banana and pineapple business performed well, with remarkably strong pineapple sales and pricing during the Christmas season. We continue to see strong growth in our gold pineapple category in Europe. We anticipate that our banana business in the U.K. will remain strong as we gain new customers and continue our strategy to enter only into favorable banana contracts. Canned pineapple is a key product in our European prepared food business. And pineapple from Thailand and Indonesia has been in short supply and still is. Our current canned pineapple, however, comes from other sources, which positions us well in the marketplace. In Asia, we experienced increased gold pineapple sales with both higher selling prices and increased volumes. Our banana business in Asia also experienced increased selling prices and stronger sales to retail supermarkets. During the quarter, we continued to expand our highland honey banana and gold pineapple production in the Philippines to meet growing demand in Asia. We have also expanded our distribution and ripening center in Korea to meet this growing demand. It is important to note that the pricing increases we saw in Asia during the quarter were not enough to offset the upward pressure on costs. These same cost pressures also impacted our North America and European operations. We continued to grow in emerging markets as in the Middle East during the quarter. Demand for bananas and other products are on the rise and we are moving swiftly to meet that demand. During the quarter, we made progress in the development of three new distribution centers in Saudi Arabia. We recently gained approval to supply McDonald’s outlets across the entire region, including the United Arab Emirates and Saudi Arabia. We continue to supply the UAE National Airline. We are exploring the possibility of supplying schools throughout the UAE and in the near term, we will begin to supply Egypt and Saudi Arabia with our shelf-stable juices that are produced by co-packers, which is an efficient and low-cost way to gain traction in these markets. Our Jordan meat processing plant continues to ramp up production. We believe we will see even stronger results in 2008. The Middle East offers us many opportunities and we are well poised to leverage those opportunities in the future. A key to our success is our ability to tap into the power of the Del Monte brand to create new inroads in these fast-growing markets. Much of our progress is due to enduring consumer faith in our 115 years old brand, which symbolizes quality, freshness, and reliability. We are justifiably proud of our performance in the fourth quarter and throughout 2007. The fact that we were able to overcome the continuing effects of higher fuel procurement and food production costs is a testament to the expertise and commitment of our management team and the dedication of our 35,000 employees around the world. Our performance is also powerful endorsement of our business model. Our mission is and always has been centered on increasing shareholder value. To fulfill this mission, we focus on offering products and services that meet the needs of our customers and enable us to improve profitability. While this mission requires disciplined implementation, it also calls for flexibility and resilience, two inherent qualities that we demonstrated yet again in 2007. When in spite of continuing cost pressures, we delivered one of our best years and the best fourth quarter ever in terms of financial results. As we advance in 2008, we are optimistic about our future in spite of the strong headwinds that we see in front of us. We continue to perform well around the world in part because of our efforts to increase pricing, improve our operating efficiencies, and eliminate costs. We are ramping up these efforts even further in 2008 and we remain confident in our ability to mitigate rising costs that are significantly impacting our industry. Meanwhile, we are positioned to perform well regardless of the state of the economy. Fundamental foods like fruits and vegetables are not discretionary purchases. Consumers buy them in good times and bad times. So, we tend to fare well in every economic environment. We see tremendous opportunities ahead and we remain committed to growing the company, improving our operations, expanding into developing and emerging markets while introducing new products to meet consumer demand. I would like to pass it over to John, so he can give you some highlights on our financials.
John F. Inserra: Good morning everyone. As Mohammad said, the fourth quarter was the best fourth quarter ever for Fresh Del Monte Produce and we are proud that we delivered significantly improved shareholder value, particularly in an industry environment of rising costs. For the fourth quarter 2007, excluding asset impairment, restructuring, and other charges, EPS was $0.68 per diluted share, compared with a loss of $0.03 per diluted share in the fourth quarter of 2006. Net sales jumped 15% to $848 million, compared with $738 million in the prior year fourth quarter. Gross profit was $75 million, 23% higher than the $61 million in the 2006 fourth quarter, and operating income grew 147% or $18 million to $30 million, compared with $12 million in the prior year fourth quarter. Let’s now review the performance of our business segments in the 2007 fourth quarter. In our global banana business, we saw a continuation of the trend we had noted throughout the year, strong pricing across the board due to better contracts in North America and increased worldwide demand for bananas. Net sales for the fourth quarter rose 18% to $309 million with a 6% increase in volume and a 12% gain in price. Gross profit was in line with last year at this time, due to higher pricing in North America and the Middle East, but partially offset by increased costs. Worldwide pricing for the fourth quarter increased 12% to $11.44 per box, compared with $10.25 per box one year ago. Banana net sales in North America increased 4% despite a reduction in volume. In Europe, net sales increased 16% with higher volumes and pricing and favorable foreign exchange rates. In our Middle East banana operations, we saw higher volumes in pricing, a result of increased demand. In Asia, sales decreased 3% on lower volumes and higher pricing. Although pricing was high year-over-year in all regions, the cost of fruit production and transportation, including fuel, increased during the quarter. In our other fresh produce business segment, overall sales were up 4% with increased pricing and slightly lower volumes. Our gold pineapple category performed well during the quarter with strong sales driven by healthy volumes and premium pricing, a continuation of market characteristics we saw throughout the year. Net sales increased 16% to $114 million, pricing was higher by 9% and volumes grew 6%. We continued to benefit from cost improvements we implemented in this product in late 2006 with the closure of the Hawaiian pineapple operations, which has helped to improve profitability. In North America, net sales of gold pineapple were strong with improved volumes and higher pricing. Net sales of gold pineapples in Europe also increased due to pricing gains and the benefit from favorable foreign exchange rates. In Asia, sales, pricing, and volumes were also strong. In our melon category, fourth quarter sales rose with pricing gains as we saw higher volumes than last year at this time. In North America, we experienced strong sales and higher pricing due to lower domestic industry volumes. In our fresh-cut category, our business continues to gather momentum. As you will recall on a global basis, we have redirected our emphasis from selling fresh-cut vegetables to selling more high-margin fresh-cut fruits, which tends to be more profitable. As a result, during the quarter net sales decreased or pricing rose in North America and Europe. In our tropical/non-tropical category, net sales increased 5% to $38 million with strong volume gains over the previous year. This increase was due in part to a strong 2007 Christmas season, which we did not experience in the prior year. We are aggressively growing our avocado business in the United States and we see great potential going forward. Non-tropical sales also continued to grow in the Middle East with increased sales in our grape and apple product lines. In our tomato category, net sales rose 6% driven by higher pricing and volumes. Costs were higher as independent growers reduced volumes and acreage. In our prepared food business segment, we’re pleased to report that sales rose 54% to $109 million from $71 million last year at this time, primarily driven by the outsourcing of our products to distributors. In addition, volumes increased 31% and pricing grew 18%. We also saw a gross profit of $16 million, compared with the loss last year of $12 million. Our success in prepared food is primarily due to strong canned pineapple sales during the quarter and the closure of our Italian juice operation in 2006. In our other products and services business segment, net sales for the quarter increased 19% to $57 million, compared with $48 million last year. This increase was due to growth in our poultry and grain businesses. Gross profit was up 6% to $5 million, primarily due to our grain business in Argentina. The foreign currency exchange benefit at the gross profit level for the quarter was $13 million, compared with $8 million in the prior year. For the year, the foreign currency exchange benefit at the gross profit level was $49 million, compared with $42 million in 2006. Conversely, we were impacted by a $12 million increase in fuel during the fourth quarter and a $14 million increase in fuel for the year. Fourth quarter SG&A expense decreased $3 million to $46 million, compared with $49 million in the prior year period, primarily due to a European marketing campaign that was not repeated in 2007. Other income in the fourth quarter was $20 million, compared with other expense of $7 million in the prior year period. This increase was primarily from a $13 million gain in foreign currency, due to favorable exchange rate movements in the euro, British pound, and other currencies versus the U.S. dollar and a $6 million from the sale of non-performing assets. On a full-year basis, other income was $32 million, compared with other income of $400,000 in 2006, primarily due to a $15 million gain in favorable foreign currency exchange rates and $17 million from the sale of non-performing assets. Interest expense net in the fourth quarter of 2007 was $4 million compared with $8 million last year at this time, as we significantly reduced our debt levels to $239 million from $470 million at the end of last year. A combination of cash flow generated from our strong performance and proceeds from our equity offering led to this significant debt reduction. Provision for income taxes for the fourth quarter of 2007 was $4 million primarily due to provisions for uncertain tax positions in the current year. Capital expenditures for 2007 were $81 million or 2% of revenue, compared with $102 million in 2006. We expect capital expenditures in 2008 to be $120 million as we continue our organic growth in the Middle East, the Philippines, and Costa Rica. This concludes my financial review. 
Operator: (Operator Instructions) We’ll take our first question from Mark Churchill - Piper Jaffray.
Mark Churchill - Piper Jaffray: Taiwan and Indonesia supply weakness continues to help your business, how long do you expect that to continue on the pineapple business?
Mohammad Abu-Ghazaleh: Well, we are seeing that still there are shortages in the producing countries and that could take us to the end of the year, could be.
Mark Churchill - Piper Jaffray: All the way through 2008?
John F. Inserra: Yes.
Mohammad Abu-Ghazaleh: That’s what we believe, yes.
Mark Churchill - Piper Jaffray: And then on the last call I think that you had mentioned the expectation of maybe some rationalization of competitive pineapple growers in Costa Rica, are you guys seeing that yet or are we going to have longer to wait for that?
Mohammad Abu-Ghazaleh: We really are not anymore interested in whatever is being done in these countries because we have been saying this for the last five, six years that we know where we are and where our position is. And whatever additional volumes that we procure through our own production or through independent growers is being placed in the market without any difficulties. So, neither our pricing has been helped or our ability to distribute these volumes. So, really the question of more acreage or less acreage is not anymore kind of a worry to us.
Operator: And we’ll take our next question from Jonathan Feeney - Wachovia.
Analyst for Jonathan Feeney - Wachovia : This is [John San Marco] on behalf of Jonathan Feeney. Can you quickly detail how today’s inflationary energy cost environment flows through your income statement and specifically sort of how it looks today versus two months ago? It looks to us like it’s gotten a little bit more inflationary and then sort of a last detail whether you would anticipate pricing to keep pace with the acceleration in bunker fuel costs?
John F. Inserra: As we stated the fuel impact in the fourth quarter was $12 million negative and for the full year was only $14. So, you can see how bunker fuel is beginning to impact the business and we have to take steps to overcome that. So, yes we are seeing that as an issue.
Analyst for Jonathan Feeney - Wachovia : And you feel like you’re playing catch up with those costs, you are in front of it or just on pace with it, in general?
Mohammad Abu-Ghazaleh: Well, as I mentioned earlier, we are always on top of our costs and we always make sure that as I said even in the worst environment, we still did better than anyone expected, and we still performed better than the industry. So, I believe that this is a testament that we can handle whatever challenges that we face in the future.
Analyst for Jonathan Feeney - Wachovia : Could you please discuss the magnitude of the impact you’d expect to see globally speaking banana prices relative to some of the plantation destruction that’s being reported in Ecuador?
Mohammad Abu-Ghazaleh: The shortage that we see today, actually it didn’t happen overnight. It’s been developing over the last maybe two years and I mentioned that earlier in one of my conference calls that I see shortages and I saw less production going forward. I stand by my belief that production is going to stay probably tight. What we see in Ecuador actually is not a huge destruction of farms. There is, of course, destruction of some of the farms, there were some acreage being flooded but I think that the major element here is that demand has been increasing and consumption has been increasing and production hasn’t been going up in the ratios. And the reason for that is because suppliers were losing money and marketers as well were losing money. So, in either case nobody was interested to go further and I believe that if pricing does not improve significantly in the future, we will not see much bigger supplies as well in the future. So, I mean this is something that you do day by day and you allocate your volume and your supplies according to the supply situation and the market situation. In our case, as Fresh Del Monte, I believe that we are the only company really that understands this business and know how to handle this business and to manage our business. This is a produce and perishable business that you cannot manage. It’s difficult to explain to somebody how you handle these situations if you are not in the business and we are in the business, and we know how to handle these challenges and supply shortages or oversupply. And that’s what makes us different from everyone else.
Operator: Your next question comes from Vincent Andrews - Morgan Stanley.
Vincent Andrews - Morgan Stanley: Your tax rate, we calculated on a reported basis to be about 11% in the quarter, how should we think about the tax rate for 2008?
John F. Inserra: I would think that average should be something like maybe 8% or so, 8%, 9%. As I said before, it’s probably the most difficult thing to predict where it’s going because of the new tax rules and I voiced my concerns about estimating taxes for any business in the past. But I would use something like that; this was an anomaly having it this high when overall the tax rate was 1% on a full-year basis. So, it’s going to swing around on us.
Vincent Andrews - Morgan Stanley: And then in terms of that $13 million related to foreign exchange that’s in other income, is it reasonable to assume that’s related to hedging gains that you had on foreign currency contracts?
John F. Inserra: No, the foreign currency gains were up in gross profit. These are after we’ve committed our contracts and we turned them into receivables. There is that lag period. We also have a lot of activity within our accounts and trading activities between countries, which can affect the differences in exchange and quick movements in the rate can impact our business, and basically with the euro, the pound, and the other foreign currencies that we benefited from in this case.
Vincent Andrews - Morgan Stanley: And then in terms of the prepared food segment, would you be interested in quantifying how much you benefited from the closure of the Italian facility versus how much you are benefiting from the canned pineapple issue?
John F. Inserra: No, at this point we really don’t disclose that kind of information, but both of them did have an impact and we see those trends continuing through 2008, the benefit from the closure of Italy will continue indefinitely.
Vincent Andrews - Morgan Stanley: Then, how should we think about where you are hedged on foreign currency for 2008?
John F. Inserra: Well, it’s our policy as stated that we hedge around 50% of our currency exposure and that’s what we usually do, sometimes we hedge more, sometimes a little less. But we do have currency hedging in 2008.
Vincent Andrews - Morgan Stanley: And no change to your bunker fuel hedging strategy?
John F. Inserra: Not at this time.
Operator: We’ll take our next question from Diane Geissler - Merrill Lynch.
Diane Geissler - Merrill Lynch: The components of other income that relate to asset gains, sale on assets, I am wondering why those are left in the P&L when you call out asset impairment and restructuring charges as extraordinary items?
John F. Inserra: Well, primarily and especially in the fourth quarter and even in the full year, the non-productive assets had nothing to do with the one-time, if you will, asset impairment charges, there was the sale of a vessel this quarter as a primary item in there and some farm assets that had nothing to do with the asset impairment. We did put $3 million if you notice in the attachment to the press release in as a benefit in cost of sales for insurance recovery related to the charge that we took last year for the fertilizer issue in Kenya.
Diane Geissler - Merrill Lynch: Right, but aren’t the asset sales considered non-recurring items?
John F. Inserra: No, they are actually a normal accounting. We have sales of assets all the time.
Diane Geissler - Merrill Lynch: Okay, so when we think about what we are going to plug into our models in the other income line in 2008, would we put in asset sales?
John F. Inserra: We never know what those are going to be at this point. And if you looked at the plan we’ve done, basically we have zero in it.
Diane Geissler - Merrill Lynch: I guess any asset sales should be considered non-recurring because they are not part of the operations, they happen periodically.
John F. Inserra: Well, from a technical accounting I can’t do that. I mean that’s why we explained to you what they are in the call and left it for the call. You can make a decision on that, but that’s why we explained in detail in our conference call so that you would know what that represents.
Diane Geissler - Merrill Lynch: Working on the stock over the last eight or nine years and sort of what drives earnings, it’s obviously been pretty volatile over that time and a lot of the volatility has been linked to bananas. So, if we assume sort of bananas, regulates over the next couple of years in terms of getting the situation in Europe worked out, etc. Can you give us some idea; you are spending more in your CapEx budget on expansion in the Middle East, in fresh-cut, etc., kind of what your internal target is for EPS growth?
Mohammad Abu-Ghazaleh: No, we cannot speculate on the EPS growth, but we can definitely say that we are putting this capital expenditure to expand our business and revenues and of course net income at the end of the day. But, as we mentioned earlier probably on our previous conference calls, we estimate that our business in the Middle East could be up to $500 million in about three to four years from now and that’s what we said earlier, I believe. So, that’s the kind of growth, we believe that the growth will be coming not only from our traditional markets, but also from the emerging markets and we believe that growth will be significant.
Diane Geissler - Merrill Lynch: Okay, but just in terms of the company as a whole?
Mohammad Abu-Ghazaleh: What about the company as a whole?
Diane Geissler - Merrill Lynch: What are your internal targets for growth on the EPS line over time with all of what you are doing in terms of these new markets?
Mohammad Abu-Ghazaleh: Well, it’s too early to give you figures at this time, hopefully sometime in the future we can furnish some guidance in that respect.
Operator: Your next question comes from Heather Jones - BB&T Capital Markets.
Analyst for Heather Jones - BB&T Capital Markets: This is [Brent Hundley] speaking on behalf of Heather Jones. Mohammad, can you please address the performance in your other produce category, last year it performed around $63 million and we were expecting a higher number, but would you mind comparing it year-over-year for me?
John F. Inserra: The gross profit in our other prepared food category is the $61 versus the $56 that you are talking about, primarily was a drop-off in some of our other products and pineapple was very strong in that category. In our non-tropicals we are also good. We saw some declines due to higher cost in melons and some of our vegetable category that was planned by us and also a little bit of additional expense in our fresh-cut operation, and our tomato business was one of the major factors. So, it’s a combination. It’s very difficult to look at that category because of the mix of fruit, but I think everyone always asks the question, “How is pineapple doing?” and that outperformed the previous year. But it’s in the other category that I mentioned is where we have seen the decline.
Analyst for Heather Jones - BB&T Capital Markets: We understand that one of your competitors is invoking force majeure and raising pricing by $2 a box in the U.S. temporarily. Do you intend to follow that and relatedly can you give some commentary on the pricing environment that you are currently seeing?
Mohammad Abu-Ghazaleh: Well, as we mentioned earlier that pricing in the banana, especially in North America, has been so much depressed over the years and I think that it’s logical that the prices should go up because the present pricing structure doesn’t cover costs for bananas in the United States. So, if one of our competitors is raising the prices and using a force majeure that demonstrates that there is a reason for that. However, in our case we are studying this situation. We conduct our business differently and we will look at how we can work closely with our customers and find what the best formula is for them and for us.
Analyst for Heather Jones - BB&T Capital Markets: Your competitor last week outlined cost increases in excess of $150 million. Are you seeing a similar cost environment there?
Mohammad Abu-Ghazaleh: No, as I said earlier, there is definitely a higher cost environment. We do feel it be it on the field, be it on the fuel, be it on the ships, and every aspect of our production process. But we mitigate our production costs through other means and tools that we use. So, I don’t want to prepare myself to our competition or what they do and as I said earlier to a question we are a different company, I think we are the only company that understands this business and we know how to handle our business.
Analyst for Heather Jones - BB&T Capital Markets: Do you have any of your fuel hedged into 2008?
Mohammad Abu-Ghazaleh: No, we don’t.
Operator: It appears we have no further questions at this time. Mr. Abu-Ghazaleh, I’d like to turn the conference back over to you for any additional closing remarks.
Mohammad Abu-Ghazaleh: Well, in conclusion I think that we would like to thank everybody for their attendance and their patience with us and I’d like to just make sure that our investors and shareholders realize that we are doing the best that we can to grow our business and the company and to enhance shareholders’ value. And I believe that this is going to be our mission going forward, and I believe that we have very high confidence in achieving that. Thank you very much and hope that we’ll speak to you on our next conference call.